Operator: Thank you for standing by. Welcome to the Woodward, Inc. First Fiscal Year 2018 Earnings Call. At this time, I would like to inform you, this call is being recorded for rebroadcast and that all participants are in a listen-only mode. Following the presentation, you will be invited to participate in a question-and-answer session. Joining us today from the Company are Mr. Tom Gendron, Chairman and Chief Executive Officer; Mr. Bob Weber, Vice Chairman, Chief Financial Officer and Treasurer; and Mr. Don Guzzardo, Director of Investor Relations and Treasury. I would now like to turn the call over to Mr. Guzzardo.
Don Guzzardo: Thank you, operator. We would like to welcome all of you to Woodward’s first quarter fiscal year 2018 earnings call. In today’s call, Tom will comment on our markets and related strategies, and then Bob will discuss our financial results as outlined in our earnings release. At the end of our presentation, we will take questions. For those who have not seen today’s earnings release, you can find it on our website at woodward.com. We have, again, included some presentation materials to go along with today’s call that are also accessible on our website. An audio replay of this call will be available by phone or on our website through February 5, 2018. The phone number for the audio replay is on the press release announcing this call as well as on our website and will be repeated by the operator at the end of the call. Before we begin, I would like to refer to and highlight our cautionary statement, as shown on slide three. As always, elements of this presentation are forward-looking or based on our outlook and assumptions for the global economy and our businesses more specifically. Those elements can and do frequently change. Please consider our comments in light of the risks and uncertainties surrounding those elements including the risks we identify in our filings. We also direct your attention to the reconciliations of non-U.S. GAAP measures which are included in today’s slide presentation and earnings our release and related schedules. Management uses these non-U.S. GAAP measures in monitoring and evaluating the ongoing performance of Woodward and each business segment. Now, turning to our results. Net sales for the first quarter of fiscal year 2018 were $470 million compared to $443 million in the first quarter of 2017, an increase of 6%. Net earnings for the first quarter of 2018 were $18 million or $0.29 per share compared to $47 million or $0.73 per share in the first quarter of 2017. The effective tax rate for the first quarter of 2018 was 51.3%, compared to 1.1% in the first quarter of the prior year. The first quarter of the current year reflects a one-time expense of approximately $15 million or $0.24 per share, as a result of the new U.S. tax legislation. EBIT for the first quarter of 2018 was $44 million compared to $53 million in the first quarter of 2017. Net cash used in operating activities for the first quarter of 2018 was $3 million compared to cash generated of $52 million for the prior year. Free cash flow for the first quarter of 2018 was an outflow of $31 million compared to an inflow of $31 million in the prior year period. Capital expenditures in the first quarter of 2018 were $28 million compared to $21 million in the first quarter of 2017. Now, I will turn the call over to Tom to comment further on our results, strategies and markets.
Tom Gendron: Thank you, Don. Welcome to those joining us today. For the quarter, aerospace sales were up sharply and industrial segment sales in total remained challenged, although we continue to see improvement in certain end markets. While our first quarter operating results appeared mixed on the surface, I want to highlight two elements that should be key takeaways. The new U.S. tax legislation will significantly benefit both earnings and cash flow for Woodward. Our predominantly U.S.-based footprint should optimize the benefit and our future U.S. tax liabilities will be significantly reduced. We believe this legislation will also be very positive for our customers and the economy as a whole and allow us to increase investment to drive growth and shareholder returns. Additionally, we saw a sizable increase in R&D this quarter, putting pressure on our aerospace segment earnings. This is related to new program wins and opportunities, and represents further additions to our share gains. Focusing on our market segments in more detail. The aerospace industry overall continues to fire on all cylinders. Commercial OEM activity is strong on the back of the narrowbody ramp ups, both Boeing and Airbus announced record deliveries in 2017 and backlogs remained extremely strong. The regional aircraft market remained soft but business jet and rotorcraft markets are showing signs of recovery. Global passenger and cargo traffic growth continue to track at record levels and load factors remain high which are fueling after-market demand. Defense activity continues to be robust with rising global defense budgets, continued global instability providing tailwinds. Smart weapons continue to drive lift. Turning to industrial. Long-term trends underlying our industrial business remain solid and we are well positioned to benefit as end markets continue to improve. Natural gas and renewables continue to gain share of global energy consumption. And these trends are expected to accelerate over the next decade. In the near-term, while we are seeing significant weakness related to gas turbines, many of our end markets are showing strength. Focusing on our three main industrial market segments, power generation is a significant complement to global industrial activity. Currently, the market is undergoing significant disruption related to the shift to natural gas, the continuing impact of renewables and softer demand related to more efficient electrical consumption. Renewables and efficiency are contributing to significant current weakness in the industrial gas turbine market, which is being magnified by excess inventory in the channel. While we believe the inventory issue may be resolved over the next 12 to 18 months, it’s unclear when utility scale natural gas turbine power demand will recover. Distributed power which is shorter cycle and tied more closely to economic activity is showing improvement especially with respect to large dual fuel engines. The global changes required to support the natural gas market have been and continue to be underway, supporting our view of the long-term dynamics. In transportation, the positive trends we’ve seen in recent quarters continues. The natural gas truck market in Asia remains strong, although volatile due to rapidly changing market conditions. We’re also starting to see some recovery in the marine and locomotive markets. In oil and gas, we are seeing ongoing strength driven by rising oil prices, rig count growth and increased global mining activity. As you may recall, we realigned the industrial segment last year to become more efficient and effective in response to these challenging markets. While we continue to gain traction in our efforts, we’re not being complacent. We constantly and aggressively look for additional opportunities to improve our cost structure without sacrificing our commitment to innovation and our investments to drive long-term growth. One of our key strengths is our ability to leverage innovation, technology and control solutions across both of our business segments. This allows us to optimize our R&D investment, reallocate resources as needed, and thereby better managing business cycles. Returning to Woodward level focus. Woodward continues to win in the marketplace. And as you could see in this quarter’s financial results and as mentioned at our Analyst Day, we are increasing our investment in R&D. Research and development can be variable from quarter-to-quarter with program deliverables. This quarter’s increase in R&D relates to number of newly awarded programs and future opportunities such as the Airbus A320neo TRAS for the new nacelle and new Pratt & Whitney PT6 turboprop engine control, the GE Advanced Turboprop, the new defense rotorcraft engine referred to as ITAP, the TRAS on the Boeing 777X and Airbus A330neo, new power converters for next generation wind turbines, Euro VI compliant natural gas engine systems in Asia, in addition to number of other programs that are in the bid and proposal cycle. While winning these programs requires incremental investment in research and development, these opportunities present significant market share gains, we believe will be a key driver of future shareholder value. Now, let me turn it over to Bob, to discuss the financials in more detail.
Bob Weber: Thank you, Tom. Let me first give a little more color on the effects of the new U.S. tax legislation. The effective tax rate for the first quarter of 2018 was 51.3% compared to 1.1% for the first quarter of 2017. The first quarter of 2018 reflects a onetime net tax expense of approximately $15 million or $0.24 per share as a result of the new tax legislation. This onetime expense primarily resulted from the offshore transition tax component of the recent tax changes, partially offset by the positive impacts of the lower tax rate on our future deferred tax liabilities. The first year -- the prior year first quarter tax rate was extremely low due to the favorable tax impact of the repatriation of certain foreign earnings. Another factor is that Woodward has the September 30, fiscal year end. As a result, our statutory tax rate for full fiscal year 2018 is at blended rate of 24.5%, reflecting one quarter at the old 35% statutory rate and three quarters at the new 21% rate. Considering this, we now expect our full year fiscal 2018 effective tax rate to be approximately 24%. More importantly, beyond 2018, we anticipate our long-term effective tax rate to be approximately 22%, a significant reduction from the 26% to 28% long-term rate we have called out in the past. Lastly, I’d like to point out that the reduction of the U.S. Federal Statutory tax rate from 35% to 21% also has a significant positive impact on future cash flows. For 2018, we anticipate the lower tax rate to generate approximately $25 million of additional free cash flow. We would expect the free cash flow impact in future years to be significantly higher. Turning more broadly to our first quarter results. Aerospace sales grew by an exceptional 15% this quarter compared to the prior year, fueled by strength in commercial and defense OEM as well as commercial aftermarket. Commercial aftermarket sales for the quarter were up 23% due to record levels of passenger traffic, favorable fleet dynamics and quarterly variability. Aerospace segment earnings for the quarter were 14.2% of sales compared to 17.6% in the same period last year. Although, segment earnings were favorably impacted by the higher sales volume in the quarter, this was partially offset by higher manufacturing costs related to increased production capacity. Segment earnings were also negatively impacted by the unfavorable mix within our OEM sales and increased R&D spend to support the new programs that Tom mentioned earlier. R&D spending at the Woodward level was approximately $8 million higher in the first quarter of 2018, compared to the prior year quarter with the majority of that difference incurred in our aerospace segment. Although this investment puts some pressure on earnings this quarter, we expect the spending level to taper through the remainder of the year due to quarterly variability and the timing of program deliverables. We also expect increased productivity and leverage as the narrowbody programs ramp through this year, finishing 2018 with anticipated aerospace segment margins flat to slightly up compared to the prior year, as originally projected. Turning to industrial. First quarter industrial segment sales were down 7% compared to the first quarter of fiscal 2017. Power generation was weak this quarter due to both industrial gas turbines and renewables. We did see improvements in transportation and oil and gas, primarily in gas engine fuel systems. First quarter industrial segment earnings were 11.8% of sales, compared to 10.2% in the prior year period. Segment earnings were positively impacted by cost savings initiatives taken in prior quarters, partially offset by the effect of lower sales volume. At the Woodward level, research and development costs were 7.4% of sales compared to 6% of sales in the prior year first quarter. Tom mentioned the awards and opportunities driving this increase in the quarter. We do anticipate that R&D will taper somewhat during the year. And as such for the full year, we expect our R&D spend to come down to approximately 6.5% of sales. Selling, general and administrative expenses were $46 million this quarter compared to $38 million for the first quarter of last year, largely due to the timing of stock compensation expense, the majority of which was recorded in our non segment. In fiscal 2017, this expense was recorded in the second quarter whereas this year they were recorded in the first quarter. Looking at cash flows. Net cash flow used in operating activities for the first quarter of fiscal 2018 was $3 million compared to cash generated of $52 million in the prior year. The difference was largely attributable to quarterly variability related to working capital. Free cash flow for the first quarter of 2018 was an outflow of $31 million compared to an inflow of $31 million in the same period of the prior year. Capital expenditures were $28 million for the first quarter of 2018 compared to $21 million for the prior year quarter. For the full year, we now anticipate free cash flow to be approximately $230 million. This reflects the positive impact of the tax rate changes partially offset by higher working capital. Lastly, turning to our fiscal 2018 outlook. For 2018, our top-line guidance is unchanged. We expect net sales to be between $2.2 billion to $2.3 billion with aerospace sales slightly stronger than expected and industrial sales slightly weaker than expected. We still anticipate segment earnings as a percent of sales for both segments to be flat to slightly up compared to the prior year. Earnings per share are now expected to be between $3.35 and $3.60, which reflects the anticipated full year favorable effects of the change in U.S. tax legislation. This concludes our comments on the business and results for the first quarter of fiscal year 2018. Operator, we are now ready to open call to questions.
Operator: Thank you. The question-and-answer session will begin at this time. [Operator Instructions] And our first question will come from the line of Gautam Khanna with Cowen and Company. Please state your question.
Unidentified Analyst: Hi. Good afternoon. This is actually Bill on for Gautam tonight. I wanted to dig into the aerospace margin guidance. Obviously, margins were down a lot year-over-year. I know there’s a lot of moving pieces. But, just from a mix perspective, after-market comps get tougher, OE ramps more given the engine ramps. So, do you still have a lot of confidence in your margin guide, should we expect R&D to fall off very quickly or was there an opportunity to pull R&D forward given the tax legislation changes? Just any more color you can give on kind of the cadence of margins going through the year?
Bob Weber: Sure. Yes, we remain very confident in terms of how the year will end up in total and that’s why we reaffirmed our guidance. In terms of pulling things forward related to the Tax Act, no, I wouldn’t say it was bad, but it is clearly the timing of all the award wins that Tom mentioned that we have increased our R&D predominantly in this first and probably second quarter, and then it should taper off fairly substantially in the third and fourth quarter during the year. And then, as you know with the narrowbody ramp, we do have a significant amount of manufacturing costs that will be absorbed more in those margins as we ramp throughout the course of the year. You will see that as we -- you’ll see the 10-Q coming out. You will see a bridge in the aerospace section that will call that out as production capacity cost, approximately $6 million, in that neighborhood. And so, we try to be fairly clear on kind of the components of why this quarter is down from the prior year quarter, and we are confident that it will turn around.
Unidentified Analyst: All right, thanks. That’s helpful. And then just on the manufacturing costs, is this just simply a mismatch between costs and actually delivering the product or the ramp or are these like learning curve issues where you’re just early on in the production ramp and you get more productive and you recognize also incur benefits down the road?
Bob Weber: Yes, it’s predominantly the former. We have obviously, as you can imagine, a lot of equipment, a lot of fixed cost that is the anticipation of the higher volumes later in the year and in 2019 that is currently non-productive. So, there is a lot of that that is hitting our depreciation and fixed cost lines. And we’re not yet getting the full volume -- full capacity impact of the return.
Unidentified Analyst: Okay, thanks. And then, just in industrial, the IGT seems like it was pretty weak. Is that just severe destocking going on in the channel?
Tom Gendron: Well, there definitely is the destocking issue that we’ve discussed last couple of quarters, that’s still taking place. But there is also lower OE and aftermarket demand as well. So, it’s a combination of all three.
Operator: Thank you. And our next question will come from the line of Drew Lipke with Stephens. Please state your question.
Drew Lipke: Just on the free cash flow outlook. The $230 million with the tax benefit being offset somewhat by that $15 million higher working capital. What is that tied to? And maybe associated with that. How do we think about the cumulative $1.3 billion to $1.5 billion guidance that you guys have kind of put out there for 2020, in light of both the lower tax rate and then this higher needed working capital?
Bob Weber: Yes. So, moving up approximately $10 million and 25 of the upside is the tax rate impact, and the bridging item, if you will, is approximately 15 in net working capital as we approach the end of the year. We do believe, especially in our industrial business that the second half will be stronger, which means we’ll have higher inventories and higher receivable as we close out the year, and that will absorb some of that delta in the free cash flow. So, it really is just the timing of those two items. And I’m sorry, the second part of the question?
Drew Lipke: The kind of 2020 $1.3 billion to $1.5 billion cumulative…
Bob Weber: Yes. As we called out at the Analyst Day, we’re still targeting the $1.5 billion through 2020. And clearly, we believe this helps us. We gave 1.3 to 1.5 range, this clearly helps us in terms of achieving the $1.5 billion. Because it will be a significant positive free cash flow impact in the remaining years, leading up to 2020.
Tom Gendron: Just as a reminder, we did highlight that we do need recovery in our industrial markets to hit the high end of that range. So, there is still that open item out there. But as Bob said, it all combines to helping us be in that range.
Drew Lipke: Okay. And then, maybe sticking on that industrial outlook. It seems like you -- maybe revised expectations there a little bit lower from flat to slightly up to flat to slightly down. I’m curious what changed over the last month or so to kind of revise your outlook slightly there? And then, how comfortable are you with your visibility there, just given that China truck market and the visibility that you have?
Tom Gendron: Well, we still saw some movement in sales, in particular around the gas turbine market. We have some just a little bit of caution on a couple of the others with -- as you highlight, with some of the volatility in China. Overall, we still feel pretty good with outlook. That’s why we kind of kept it to the flat to slightly down just to the start of the first quarter. But overall, not much has really changed from beginning of the year.
Operator: And our next questions will come from the line of Christopher Glynn with Oppenheimer. Please state your questions.
Christopher Glynn: So, just [indiscernible] industry the last couple of quarters really starts to show some strong pivot and improved profitability there. Just wondering if you could give a little understanding on the timing of the cost out programs and what really kind of hit the last couple of quarters versus the work pace to get there previously?
Tom Gendron: Well, some of the initiatives on cost out have been going for a little bit and we’re starting to see the full benefit. The other one I did mention in the prepared remarks and we talked a little bit about at our Investor Day is we have been shifting resources from our industrial market to help support new activity in aerospace. And that’s one of the unique things about Woodward is that when you get to the fundamentals of what we do between aerospace and industrial, it’s the same type of technology. So, we’re able to leverage resources and moving around. So, with the increase in aerospace demand, we’ve been able to shift more resources. So, it’s combination of those that are taking the whole, along with ongoing productivity improvements that we’re driving, supply chain improvements. So, it’s a lot of things that’ll come in together. But we’re confident and I think it’s -- Bob mentioned as well, but we are confident as well getting into our targeted earnings range for industrial as well as we are for aerospace.
Bob Weber: On the first part of your question, Tom referred to our kind of realignment of the segment, that was back in 2016, and since then, that was -- the larger realignment, since then, we’ve had smaller items kind of just not each quarter, but throughout the year. So, nothing significant beyond the first time.
Christopher Glynn: And just wondering on the tax rate. What was the operating tax rate in the quarter? Does the guide essentially include the full 51% from the first quarter and is it kind of linear in the back nine months?
Bob Weber: Fairly linear in the back nine. I think it worked that out to be approximately 18, 19% something like that to get us to the full year 24.
Operator: And our next questions will come from the line of Michael Ciarmoli with SunTrust. Please state your questions.
Michael Ciarmoli: Tom, just on the comments on industrial that you had, I think you talked about 12 to 18 months until things kind of get better. And obviously, we’ve got the inventory destocking to deal with. But it sounds like you’re maybe a little bit less constructive on this market improving in that timeframe. I mean, is that kind of the view we should take here? You’re kind of thinking that this IGT and renewables weakness might just last a little bit longer?
Tom Gendron: Well, let me take it separately. On the IGT as everybody’s been seeing, the market’s down, the key players in the market are down. We’re burning off -- the inventory is starting to burn off. But there is a fair amount in the system. I guess, what we would be saying is we’re taking a more cautious approach as we are looking forward. It’s just going to take a little longer to recover. We’ll see if it speeds up or not. So, we’re just being a little more cautious on that. On the renewable side, I want to kind of be clear for everybody. We have a little bit of a different dynamic. Overall, the wind market is doing well. Our customer base and our mix of programs with our customer base has been unfavorable. And what that really means is they’re selling machines that were not on. And we’ve won some new programs and that’s why I highlighted that we’re investing in some new power converters. Those new programs that we have the new platforms on will start hitting next year. So, we actually will see and believe that wind will return for Woodward and get more in line with the wind overall market. But, we have had the softness due to customer sales and our product mix with them. So they’re a little two different dynamics between the gas turbine and the wind market.
Michael Ciarmoli: Got it. And then, just sticking with the industrial, the margins. I know you’ve got the longer term target out there of 16 but you’ve put up nice year-over-year and even sequential margin expansion, presumably on the cost saving initiatives. You mentioned the shifting of resources. Can we expect you guys to continue to show -- obviously, you need the market to come back and the volumes. But, can you put up some gradually improving margins, if this kind of sluggish environment persists?
Bob Weber: We will improve margins even on flat to slightly lower sales, this year. So, there may be quarter-to-quarter variability, but we see that we can do that. And then, as volume and activity picks up, we get on track to our goal of 16%.
Michael Ciarmoli: Okay. And then, just a last one for me on the aerospace side. You did mention that the biz jet, the rotorcraft market, certainly everything in aero on the top-line revenue wise really humming along. What’s the percent of the aerospace segment now that’s coming from biz jet rotorcraft? I mean, cannot be a material -- maybe not material but can that be a nice driver, maybe offsetting some tougher comps on after-market later in the year, if you can just remind us what the exposure there is from a percent level?
Tom Gendron: Yes. Overall, we’re in that 10%, 12% on the business aviation. As it picks up, because we have -- I think, if you look at our Investor Day package, you see we’re on really the premier biz jets. And as that picks up, there is an opportunity for growth in that area. It’s been depressed since the -- if you remember, the automotive CEO fiasco; that was 2009 and it’s been depressed since then. But in the meantime, we have won all the premier programs, increased content and better position. So, whenever recovers -- yes, it will be a tailwind for us. It will be a positive.
Operator: Thank you. And our next questions will come from the line of Sheila Kahyaoglu with Jefferies. Please state your question.
Sheila Kahyaoglu: Hi. Good afternoon, guys. Tom, maybe just a follow-up on the inventory question with regards to industrial. It seems like your inventories are leaned out. How do you feel about your customer inventories, what’s the lead time change there, maybe over the last year. And when are you conservative enough?
Tom Gendron: Yes. Well, the one thing, Sheila, if we look, we have been leading on our inventory and we are monitoring closely that our customers, their inventory, they’re slowly burning through some of it. As we move forward, lead times there, we have to start seeing some visibility approximately 6 months out, start making sure any significant or material change in volumes, we would have to have some outlook like that. So, we would have pretty good visibility when we start seeing a shift or curve, change in there. And at the moment, we’re not seeing it. So, we still have ways out as we said.
Sheila Kahyaoglu: Okay, understood. And then, Bob, back to you in terms of just aerospace margins. It seems, based on the first question, R&D is about $6 billion as is the OEM headwind. So, together, they each account for about 2 basis points of margin headwind this quarter. And it seems like that reverses in the second half, but it would imply that to keep margins flat at 19% rate, you’d have to put a 24%, 25% margins in the second half. Is that a fair statement? One, I guess. And then, two, is that primarily driven by higher volumes and productivity?
Bob Weber: More of the latter, more the productivity aspect of it, and then, getting back to a more normal mix within the OEM. So, our OEM business does have its own mix inside. And so, we have some quarterly variability there that we also anticipate. And you’ll see the three of those things all around that $5 million to $6 million level kind of called out in the bridge in the Q.
Tom Gendron: And I would just also say, Sheila, as you go into the latter half of the year, the top line gets lot larger as well as part of our plan. So, you’re going to have a lot more earnings and average out those margins more margins...
Sheila Kahyaoglu: Okay. Thank you. And then, I think last question on accounts receivables peaked in the quarter, what was that in regards to?
Bob Weber: More timing than anything. We don’t really have anything significant going on other than the timing, during a particular quarter can give us some variability from front end.
Operator: Thank you. And our next question will come from the line of George Godfrey with C.L. King. Please state your question.
George Godfrey: Thank you. Just two quick ones. Bob, what is the CapEx assumption embedded for the $230 million free cash flow this year?
Bob Weber: 110 -- I’m sorry I was giving you the quarter. $110 million.
George Godfrey: $110 million, okay. And then, a lot of commentary on the industrial side. So, if I look at full year guidance of flat to down, we started Q1 at down 7, then the interpretation would be that it improves throughout the year for seasonal reasons but really no structural change in the market. Is that the way I should look at that?
Bob Weber: Little bit of combination. Tom mentioned the volatility in the Asian natural gas engines. We do anticipate that as we come out of winter that that will improve a bit. So, there is mostly seasonal. Our first quarter is always our lowest, this year was no different. And then, on top of that a little bit of seasonal aspect, structural aspect going into the second half. That’s also what we believe is driving that increased need in working capital.
Operator: Thank you. [Operator Instructions] And our next questions will come from the line of Pete Skibitski with Drexel Hamilton. Please state your questions.
Pete Skibitski: So, Tom, $25 million tailwind this year from the tax reform, Bob was saying significantly higher in the out years. With that different trajectory, do you change your cash deployment strategy at all? Do you think about different R&D levels, different share repurchase levels? Obviously, your thinking changed with this new landscape?
Tom Gendron: Yes. I think it would be basically consistent with what we are highlighting. We put obviously focus on growth, organic growth first. We continue to look for the right type of strategic acquisitions. And then, we’re going to continue like we committed to increase our dividend. So, that policy is still in place. And then, depending on the growth opportunities, additional share buybacks would be taken with the cash.
Pete Skibitski: Okay. One for Bob. Hey, Bob, corporate expense this quarter was a bit high $19 million. I don’t know, if you can give us a sense what your full year expectation is and kind of what drove the quarter. Did you have to pay to a lot of tax accountants and tax lawyers this quarter maybe?
Bob Weber: They always suck up a lot. It was predominantly the stock compensation, was the quarterly impact that the piece, largely the 8 million is delta between this year and last year and the quarter. And then, we do expect it for the rest of the year to end up being about flat. So, second quarter will be a shift around and then third and fourth will flatten out.
Pete Skibitski: And Tom, can you quantify for us how much power gen was down in the first quarter, any ballpark?
Tom Gendron: Elements of power gen, we’re looking at it. The reciprocating engine side was up nicely. Gas turbine was again down and wind was down. So, the whole mix, Pete, I don’t have that off the top of head, total mix and power, total down.
Pete Skibitski: Understood. Let me slide one more in that. Continuing resolution, we’re getting into looks like February there with the CR. Are you guys seeing any impacts, any headwinds to defense, either in this past first quarter or feeling anything in early stages of second quarter here from the CR?
Tom Gendron: No, not at all; at the moment, no. We’re -- prior to this, being out there is maybe a risk item. We’re seeing continued increases in defense sales that’s coming from both, domestic as well as foreign military sales. I think as everybody knows, there is a strong demand for smart weapons. But we also have real strong demand for repair and maintenance of the defense assets, in particular where we have somebody that need upgrading or to get operationally ready. So, right now, we’re looking at a pretty promising remainder of the year on defense, unless this is protracted and throw some sort of curveball at us. But at the moment, we’re not anticipating or seeing anything.
Operator: Thank you. And we have follow-up questions coming from the line of Gautam Khanna with Cowen & Company. Your line is now open.
UnidentifiedAnalyst: Hi. Thanks for letting me jump back in here. I just wanted to -- just one quick clarification. Is the $0.24 hit from the tax bill in Q1 included in the $3.35 to $3.60 or is that not included?
Bob Weber: It is included.
Operator: Mr. Gendron, there are no further questions at this time. I would now hand the conference back to you.
Tom Gendron: Okay. Well, I appreciate everybody joining us today and thank you for your questions. During the quarter, I know we’ll see some of you, so we look forward to that. And any additional questions, Don Guzzardo is always ready to answer them for you. So, I appreciate it and look forward to talking to you next quarter. Bye.